Operator: Good day, ladies and gentlemen, and welcome to CymaBay’s First Quarter 2023 Financial Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. Following the formal remarks today, we will open up the call for your questions. Please be advised that the call will be recorded at the company’s request. It is also being webcast live on the Investors section at the CymaBay website at www.cymabay.com. At this time, I would like to turn the call over to Mr. Paul Quinlan, General Counsel at CymaBay. Mr. Quinlan, please proceed.
Paul Quinlan: Thank you operator, and good afternoon, everyone. I hope that you have had a chance to review the press release we issued announcing our first quarter 2023 financial results and business updates. You can access that release on our website under the Investors tab. Joining me on the call today are Sujal Shah, Chief Executive Officer; Chuck McWherter, Chief Scientific Officer and President of R&D; Lewis Stuart, Chief Commercial Officer; and Dan Menold, VP, Finance. Following our prepared remarks, we will open the call for Q&A. Before we begin, I’d like to remind everyone that statements made during this conference call, including the Q&A session relating to CymaBay’s expected future performance, business prospects, events or plans, including clinical plans, regulatory approvals, funding and repayment schedules, anticipated timelines and data release dates, cash runway and planning for commercialization are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although, company believes that the expectations reflected in such forward-looking statements are based on reasonable assumptions, actual outcomes, and results are subject to risks and uncertainties and could differ materially from those forecast due to the impact of many factors. The company assumes no obligation to update or supplement any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. Participants are directed to the cautionary statements set forth in today’s press release, as well as the risk factors set forth in CymaBay’s quarterly and annual reports filed with the SEC for factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. This conference call is the property of CymaBay and any recording or rebroadcast is expressly prohibited without the written consent of CymaBay. At this time, I’d like to turn the call over to Sujal.
Sujal Shah: Thank you, Paul. Good afternoon, and thank you for joining us today. 2023 continues to be an exciting year for CymaBay with only a few short months before we report results from the RESPONSE Phase 3 study of seladelpar in patients with primary biliary cholangitis, or PBC. Conducted across five continents, the seladelpar development program embodies our commitment to advancing care for patients with this rare autoimmune liver disease. In service of their need for improved treatments, we have worked in close collaboration with patient advocacy groups and the world's leading disease experts to ensure that the design of the seladelpar program evaluates those aspects most important for patient needs. Our early Q1 accomplishments included licensing of rights to develop and commercialize seladelpar in Japan to Kaken Pharmaceutical Company and a follow on equity offering. The capital we raised will fund our operating plan through Q3 of 2024. Our update today will describe our key activities, progress, and accomplishments made since our last call and will share catalyst expected in the months ahead. Last week, we announced the appointment of Harish Shantharam as our Chief Financial Officer. For almost 20 years, Harish led various financial functions in commercial biotech companies, with a particular focus on setting strategy and building financial planning and accounting operations to prepare companies for commercial drug launch. Harish spent 11 years at Gilead Sciences last serving as Vice President and Head of Global Commercial Finance. Prior to Gilead, he served in various roles of increasing responsibility, driving forecasting commercial analytics, and business development at Amgen. Over the course of his career, Harish has supported multiple product launches and brings his operational leadership capabilities as well as his strong strategic finance and commercial experience to CymaBay as we embark on a transformation to becoming a fully integrated commercial biotech company. We are thrilled to have him on our team and look forward to his impact on our mission to deliver seladelpar to patients with PBC.  Since our last update call, we have continued to collaborate with PBC stakeholder communities. In April, we had the opportunity to be a sponsor and participant in the 10-year anniversary meeting of the global PBC study group that assembled experts, advocacy groups, regulators, and industry with the theme on the future of treating PBC. Emerging concepts included advancing treatment goals to include normalization of cholestatic and inflammatory markers of disease, addressing clinical symptom burden, particularly fatigue and pruritus, and leveraging inherent knowledge within real world data to better understand risk parameters and effects of treatments on long-term outcomes. Thanks to the advances by so many around the world, we are convinced that an important inflection point is at hand for treating patients with PBC. Novel improved treatments and growing investments by the collective community is increasing awareness and diagnosis of PBC. Our goal is to increase the number of patients treated with therapies that for the first time have the potential to both reduce the risk of disease progression while also improving quality of life. Today I will ask Chuck McWherter, our Chief Scientific Officer and President of Research and Development, to provide important updates on our clinical progress. Lewis Stuart, our Chief Commercial Officer, will then share a brief summary of our pre-commercial planning activities before handing the call to Dan Menold, VP of Finance to review our financials for the first quarter. Chuck?
Charles McWherter: Thank you, Sujal. I'm pleased to report the progress we made this quarter in our two global Phase 3 studies of seladelpar in patients with PBC. The pivotal RESPONSE study and the long-term safety ASSURE study are together currently active in more than 25 countries and more than 115 research sites and with more than 300 participants. We continue to be encouraged in both studies with patient retention. The most recently quarterly review by the RESPONSE Data Safety Monitoring Board directed that as before the study can continue without any changes. Our team is collaborating with our partners and the sites to complete RESPONSE and then to analyze data from both studies. Our goal is to share top line results from RESPONSE in the third quarter, and then to submit an NDA as soon as feasible. Our aim for RESPONSE is to confirm the significant and clinically meaningful placebo controlled results observed in ENHANCE after three months. In RESPONSE, the alkaline phosphatase and bilirubin composite and alkaline phosphatase normalization endpoints are at 12 months, and the pruritus endpoint is at six months. The ENHANCE results were published online late last month after peer review in the AASLD flagship journal Hepatology. The article reports results in patients with PBC, having persistent elevations in alkaline phosphatase, most of whom are taking, if tolerated first-line ursodeoxycholic acid. After three months in ENHANCE, nearly 80% of patients taking daily oral seladelpar 10 milligrams achieve the alkaline phosphatase bilirubin composite endpoint previously used by regulators for approval. Nearly one in three of these patients achieved normalization of alkaline phosphatase after three months, despite having an on average pre-treatment level of two and a half times the upper limit of normal. The article further reported that in patients with pre-specified baseline moderate to severe itch, those taking seladelpar 10 milligrams for three months had significant improvements compared to placebo in their pruritus intensity, using a daily electronic diary. ENHANCE is the first study in patients with PBC, using a pre-specified testing of endpoints of markers of disease activity and symptoms to achieve both significant and clinically meaningful differences on active treatment compared with placebo. Once again, we will have a significant presence with three accepted abstracts to be presented at the EASL Conference in Vienna, Austria from June 21st to 24th. Once the EASL embargo is lifted in June, we'll be able and eager to share the insights we've gathered in an abstract titled seladelpar treatment resulted in correlated decreases in serum IL31 and pruritus in patients with primary biliary cholangitis. Post-talk results from the Phase 3 randomized placebo controlled ENHANCE study to be presented by Professor Andreas Kremer of the University of Zurich. The IL31 pathway is a validated target associated with chronic pruritus in dermatological diseases. A second clinical abstract to be presented by Professor Gideon Hirschfield from the University of Toronto Liver Center is titled Baseline Characteristics and Risk Profiles of 1,111 Patients with primary biliary cholangitis in need of second line therapy. CymaBay has acquired considerable experience having conducted clinical research in PBC since 2015. The third accepted abstract is titled Novel Pathways implicated in the seladelpar mediated reductions of established liver fibrosis are identified from RNA-SEQ data using plex search and two independent mouse pharmacology data sets. Presented by the CymaBay research team, new mechanistic preclinical findings are recorded. The full results of these abstracts and the progress they represent will be available at the Congress. At this time. I'll turn it over to Lewis.
Lewis Stuart: Thank you, Chuck. During our last quarterly call, I shared several themes that our core components of our seladelpar go-to-market strategy. Beginning in January, we began activating numerous work streams from our commercial roadmap that will lay the groundwork for the company's overall launch readiness and set a course for flawless execution of the seladelpar PBC launch. We initiated key commercial infrastructure projects within legal, finance, and human resources to support organizational readiness while beginning to evaluate logistic solutions to support our commercial supply and distribution channel strategy. Many of these projects have longer timelines with multi-stage deliverables, all to be enabled in careful alignment with key corporate milestones. Our primary market research and data analytics initiatives are ongoing and continue to inform our HCP, patient and payer strategies. We recently finalized value messaging research with QUS payer organizations and were encouraged by their response to seladelpar's target product profile, which we further strengthen by the results from our pivotal studies and continued evidence generation. Patient insights were also completed revealing the deeper emotional, personal and healthcare related needs of people living with PBC. In addition, we interviewed 125 hepatologists and gastroenterologists on their expected attitudes, drivers and behaviors relative to future PBC patient management, which we can then use for future segmentation and targeting efforts.  Finally, we're so excited to have initiated our talent search for key commercial leadership roles scheduled for hire throughout the summer months as we prepare to accelerate our launch readiness plans in the second half of 2023. I'll now turn the call over to Dan.
Dan Menold: Thank you, Lewis. As others on the team have highlighted, during Q1 2023, we made additional progress towards completing the patient treatment phase for the RESPONSE study, and in parallel, we're preparing for final data analysis as we focus on delivering top line results in Q3 of this year and submitting our NDA thereafter. We further strengthened our leadership team and enhanced our strategic and operational commercial launch experience by recruiting Harish Shantharam as our new CFO. Overall, our efforts to begin transforming into a fully integrated commercial biotech company are underway as we work to execute on select strategic and operational commercial readiness initiatives to prepare for potential future launch of seladelpar and PBC. From a financial perspective, we finished the quarter with a strong balance sheet with cash, cash equivalents and investments totaling $236.4 million as of March 31st, 2023. As a reminder from our year end call, in Q1 2023, we enhanced our cash position following the receipt of a $34.2 million upfront license payment from our Kaken collaboration and from the completion of a $92.4 million public equity offering. Overall, we believe that our cash and investments on hand as of March 31st, 2023 will be sufficient to fund our current operating plan through the third quarter of 2024. I'll now turn to review of our first quarter operating results. Firstly, while the company received a $34.2 million upfront payment from Kaken, all revenue associated with our collaboration was deferred as of March 31st, 2023, pending completion of contractually required tech transfer activities and satisfaction of other future performance obligations associated with the agreement.  As for our operating expenses, research and development expenses for the quarters ended March 31st, 2023 and 2022 were $18.5 million and $18.4 million, respectively. Research and development expenses for quarter ended March 31st, 2023 were in line compared to corresponding periods in 2022, primarily due to the offsetting impact of lower clinical and CNC costs following enrollment completion of response in mid-2022, offset by higher employee compensation as we continue to hire additional personnel to support our clinical studies and other development activities. As we continue to progress late stage development in seladelpar and PBC, we expect our overall research and development expenses to increase in the future. Turning briefly now to a review of general and administrative expenses. These costs for the quarters ended March 31st, 2023 and 2022 were $8.3 million and $6.1 million, respectively. General and administrative expenses for the quarter ended March 31st, 2023 were higher than the corresponding period in 2022 as we continue to add administrative personnel and expand our infrastructure in support of our corporate growth. Overall, our net loss for each of the quarters ended March 31st, 2023 and 2022 was $28.8 million and $27.8 million or $0.29 and $0.32 per share, respectively. Net loss for the quarter ended March 31st, 2023 was higher than the corresponding period in 2022 due primarily to an increase in general and administrative expenses partially offset by an increased in interest income earned on our cash equivalents and investments. Overall, we expect operating expenses to increase in the future as we continue to execute our development and pre-commercialization plans for seladelpar and PBC. Let me now hand the call back to Sujal.
Sujal Shah: Thank you, Dan. While we are thrilled with the progress we have made thus far in the year, we are even more excited about the milestones ahead of us in the coming months. Our team remains laser focused on delivering seladelpar to patients with PBC, an objective that includes a deeper dive into the unique characteristics of the seladelpar mechanism, the impact seladelpar may have on both reducing the risk of disease progression and improving quality of life, and raising awareness of how we plan to lead a new frontier in treatment goals. We look forward to sharing more updates with you all at upcoming medical meetings, and of course, when we aim to share top line results from RESPONSE at the end of the third quarter. We're now happy to take questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Yasmeen Rahimi with Piper Sandler. Please proceed.
Yasmeen Rahimi: Good afternoon team, and thank you so much for all the great updates, and we are very excited about the upcoming data readout in the third quarter. Two quick questions for you. The first one is, at what junction should we expect to learn about additional studies that you would be conducting with seladelpar in regards to expansion of the PBC opportunity? I know in the past you have spoken about studies on -- for patients who have working towards normalization of alkaline phosphatase. So any commentary there? And then second question is, is it premature for us to expect any color in regards to post-marketing commitments and requirements at the time when you report out top line data in the third quarter, or whether that will be more likely after the approval? Appreciate color on both of the questions, and thank you for taking time to answer them.
Sujal Shah: Appreciate the questions, Yasmeen. So I'll provide some context. I think, first, as we've been describing over the course of our development path with seladelpar and PBC since 2015, we continue to remain committed not just to the current ongoing Phase 3 studies RESPONSE and the long-term study ASSURE, but we continue to be very committed around thinking about really advancing treatment guidelines, really trying to advance the treatment paradigm for patients with PBC. So we're certainly committed to thinking through additional clinical studies data sets that we think can advance care for patients with PBC and better elucidate where seladelpar may continue to have advantages across disease spectrum for patients. But I think as we've done historically, what we'd like to do is commit to the first steps in getting those studies started and then we'll share details around the construct of those studies and the objectives of those studies as we begin. So look forward throughout the course of this year to sharing more updates with you around additional clinical trials as we continue to think about seladelpar across patients. With respect to post-marketing commitments, obviously the approval pathway in PBC, as you've highlighted and I think as most know on this call is accelerated Subpart H conditional approval. We will have a commitment for a post-marketing study. I can tell you that we've had dialogue with regulators over the course of several years and are approaching our commitment to this in somewhat of a novel way, given the inherent challenges that exist in running long-term placebo controlled studies for patients with a rare disease such as PBC. We already have some feedback and key feedback back from regulators. And again here, I think, not dissimilar for what I just described in your first question, as we make steps forward to committing to that work, we'll share much more of these updates with you in the coming months. The commitment around the post-marketing path -- study pathway, of course, is one in which we have to have that study initiated, and in fact, make some progress in that study as we look to file for regulatory approval. And so it's very much in the near term for us and I'd say stay tuned in the coming months, we'll have much more to share on both of these areas.
Yasmeen Rahimi: Thank you so much. I'll jump into the queue.
Sujal Shah: Thank you.
Operator: The next question comes from Steve Seedhouse with Raymond James. Please proceed, sir.
Steve Seedhouse: Hi. Good afternoon. Thanks for taking the questions. I had two actually, I'll just ask them together because the first one's pretty quick. Just first on pruritus improvement, could some of the mechanistic work you've been doing, including the presentation at EASL, potentially explain you just mechanistically why PPAR delta specifically seems to improve pruritus so much more relative to Pan PPARs or fibroids. And then second on the ENHANCE publication, one of the details is that paper sort of confirmed or reiterated was there about half of the patients screen for the study were screen failures and the majority of those were based on al-phos less than 1.67. So it seems to suggest is a -- would be a big demand in theory from those patients that are above upper limit of normal, but below that threshold. And I'm wondering if that's the correct interpretation of that. And if you think that there's substantial upside from that sort of middle ground biochemical group of patients ultimately when you get to market. Thank you.
Charles McWherter: Yeah. Steve, thank you for that question. This is Chuck. We've certainly remained quite interested in and committed to understanding the mechanism for price improvement that we've seen first in our 52 week open label study. And then as reported in ENHANCE after three months of treatment in a placebo controlled fashion with the electronic diary. And of course, we're seeking to confirm that in the RESPONSE study with the secondary endpoint in patients with a clinically significant itch at six months. I think you're tracking down the right idea here. We're fully committed to trying to explain some of the mechanistic features of a del PPAR and how that's distinguished from other available agents that are used either approved or used off-label. And as you kind of alluded to, really not able to say much more about that at this point. Really quite eager to be able to share additional details once the EASL embargo is lifted. And we just have a long-term commitment not only to improving liver disease, but also the symptoms and really sharing the mechanistic aspects of the del PPAR mechanism.
Sujal Shah: And Steve, I'll answer the second question. As Chuck had mentioned in some of the prepared remarks, one of the other abstracts that'll be presented at EASL by Professor Gideon Hirschfield, in fact does carry much of the detail around baseline characteristics and risk profiles for all the patients that we've screened across studies. And that's over a thousand patients at this point. And you're correct, roughly half patients, half the patients have screen failed for those that have been trying to be targeted with al-phos levels above 1.67 times the upper line of normal. And it is true of vast majority of those in fact are because they're al-phos is somewhere between upper limited of normal and 1.67. This is one of those precursors, in fact, to much of the work that we're doing is we better understand the potential benefits those patients may in fact have. And there's much more work in the published domain now, work from the global PBC study group, as well as others really pointing towards the potential benefits of normalization around alkaline phosphatase specifically over the course of disease progression in PBC. And so we're really trying to follow that work and recognize the potential benefits of seladelpar in this broader group of patient populations that we've not really historically studied in clinical trials, be it CymaBay or other sponsors in fact, as well. And so we think there's a significant opportunity here. We think there are many more patients, of course, that may potentially benefit from biochemical normalization and of course, from reduction in symptom burden. And these are some of the things that again, you'll see us talk much more about in the coming month.
Steve Seedhouse: Thanks so much.
Sujal Shah: Thank you.
Operator: The next question comes from Kristen Kluska with Cantor Fitzgerald. Please proceed.
Kristen Kluska: Hi. Good afternoon. Thanks for taking my questions and looking forward to some of these upcoming data that you're going to share. So in the past year, and it sounds like heading into these upcoming data, you've done a lot more work relative to understanding the mechanism going deep into some of the different pathways that are impacted. So I wanted to ask you how you're thinking about comorbidities in this patient population and any autoimmunity linked to other indications that are going to further help you to understand the mechanism. And again, while I recognize PBC, the laser focus, just future directions, what that can tell you.
Sujal Shah: Yeah. Thank you, Kristen. I think with respect to comorbidities related to autoimmunity, remember that PBC is an organ restricted autoimmune disease, which is predominantly described by a dominant auto antigen related to the PDAC to basically the mitochondrial antibody. Related comorbidities in terms of autoimmunity like Sjogren's disease and others, really don't have that commonality with respect to the auto antigen. So from that particular perspective, I'm not sure whether there's going to be some low-hanging fruit there. There are of course, AIH, autoimmune hepatitis PBC overlap, which is a disease which does carry in common PBC. And that could be an area that would be something of future interest. But in terms of other comorbidities, remember that more than half of the patients with PBC have dyslipidemia, strong elevations. And we found in a recent abstract that we presented that in our studies, more than half of them have elevations in total cholesterol and an LDL cholesterol. About a third of them are on lipid lowering therapy, many on statins. And we found that so far seladelpar lowered both total cholesterol, LDL cholesterol, and triglycerides to a reasonable effect. And they did that in the presence of background lipid therapy as well. So that's an area that we continue to have a look at and additional benefit in the patient population with this common comorbidity.
Kristen Kluska: Thank you for that. And then looking at the global PBC study group, 10-year anniversary conference agenda, it was very much -- it appears to be written, and suggesting about how the landscape is going to change and how that could include new therapies such as yourself. So just wondering, since it was such intimate group of thought leaders, if there's anything that came out of the meeting that was either a surprise to you or something that you walked away with that will be a bigger focus heading into these data or anything in general that you want to share that you felt was important. Thank you so much again.
Sujal Shah: I appreciate it. Thanks for the question, Kristen. It was actually a tremendous event. There's much work that's been going on in PBC, of course pioneered a number of years ago when [indiscernible] was the first drug approved in 20 years, since ursodeoxycholic acid. And I'd simply tell you that the energy surrounding those thought leaders in the field, the patient advocacy groups that were in attendance and participating regulators as well as sponsors, there was really a palpable sense that there's much more to come in this field. From our perspective, when we think about seladelpar and the profile we've seen to date, the profile we hope to confirm in response in our ongoing clinical studies, we see real opportunities, as we've mentioned, to treat patients to normalization. That was one of the key themes, of course, during the two-day set of meetings as well, normalization of alkaline phosphatase, cholestatic markers of disease progression, as well as inflammatory markers of disease like ALT, AST. There was a tremendous amount of discussion around these as being really future treatment goals for patients. Those are some of the things that we think are likely to expand the broader addressable patient population, potentially significantly. And I think there's a lot of excitement and enthusiasm among all of us focused in the PBC space with respect to these discussions that are ongoing. There was certainly much more discussion around relieving symptom burden for patients and improving quality of life. Again, when you don't have treatment alternatives that actually have efficacy and benefit in these areas, it's hard to have the discussion with patients. It's hard to have the discussions with researchers in the field around what you might be able to do and why there should be continued focus in this area. We see that changing now and some of the data that we've shared and published on with seladelpar reductions in pruritus, some improvements in fatigue. If you look at our liver international paper, this was another key theme during the two days, I would say. And these go -- again beyond just pruritus, of course, which is a plaguing clinical symptom of the disease, but also into fatigue and really just continuing to get a better sense of treating the patient as a whole and improving, not just liver health and longevity of patients, but actually improving quality of life for those patients all at the same time. So just really great themes as we think about where seladelpar might be able to help advance care for patients if we're successful. And then the last thing I'll mention relative to the meetings, of course, a lot of talk around leveraging real world data sets and demonstrating a potential long-term benefit with treatment alternatives in the setting of PBC. And so we're grateful to have the relationships we've had with the group overall. We've been working in PBC as you know, as we've articulated since 2015. Really just a group of folks that we've developed great relationships with and will continue to work closely with really globally, as we continue our efforts.
Operator: Our next question comes from Patrick Dolezal with LifeSci Capital. Please proceed.
Patrick Dolezal: Hi, thanks for taking the question. So with competitor data on the horizon, perhaps you could provide some thoughts surrounding the importance of not just improving pruritus and al-phos, but even transaminase levels within the context of PBC. And then on the pruritus endpoint, I know RESPONSE is looking at this metric at six months. Curious what the calculus was there in determining the six versus 12-month time point. Thanks.
Charles McWherter: Yeah. Thank you for that. So with respect to other markers that are important in terms of disease stage and risk for progression, I think the del PPAR mechanism really lends itself to the potential to harness its effects on inflammation and associated with inflammation is liver injury and its relationship to fibrosis and outcomes. There is a paper hearkening back to 2010, which was a biopsy followed study that related the levels of ALT for the risk of histological progression. This study showed that in fact elevated ALT is a risk factor and so we remain interested in the fact that the del PPAR mechanism seladelpar led to significant reductions in ALT in both our open-label study and its extension to two years, as well as in the ENHANCE study. For example, in the two-year extension study, we saw decreases of ALT of up to 40%. And in the ENHANCE study of those patients who had elevated ALT at baseline, which is somewhat over half, half of those patients had normalized their ALT in a short three months. So to kind of wrap it up, we think that liver injury, which is a consequence of inflammation, the cholestasis, the biliary injury is related to fibrosis and we're hopeful to see that the effects of seladelpar on reduction of liver injury will translate in the future into outcomes.
Sujal Shah: And then Patrick, I'll take the second question. You asked a little bit about the decision to have the pruritus endpoint in RESPONSE at six months versus baseline, that was actually the original pre-specified time point for that endpoint, in ENHANCE as well. Of course, we modified that statistical analysis plan before that study was unblinded since we didn't have many patients out to six months when that study was stopped prematurely. When we think and look at our long-term data, uh, out to one year and even two years from Phase 2, if you look at the Liver International Paper and the Journal of Hepatology Paper of our Phase 2 study, and even as you look at the data around pruritus reduction in ENHANCE, of course, again out to three months for most patients, but continued and sustained out to six months. We think six months is a really strong time point for demonstrating not just the potential benefit, but sustained effects of that benefit. And again, we see that consistently sustained out to our six-month time point in prior clinical studies. I will highlight that again, the measure itself is taken at six months as a seven-day average in the seven days leading up to that six-month endpoint versus the baseline reading, which is taken as a series of readings in the run-in period before those patients get seladelpar. So again, it's a time point in which we believe that seladelpar has the potential to show the benefit as well as the sustainability of that benefit based on what we've seen historically.
Patrick Dolezal: Makes sense. Thanks so much.
Sujal Shah: Thank you.
Operator: The next question comes from Julian Harrison with BTIG. Please proceed.
Julian Harrison: Hi. Thank you for taking my question and congrats on the progress. Assuming a successful result from RESPONSE, can you remind us of the timeline to NDA submission of what will be the getting factors there?
Charles McWherter: Yeah. Certainly, Julian. Our objective, of course, is to file as quickly as feasible post the top line data readout. I think at the end of the day, our goal is to get seladelpar first successful in RESPONSE, and confident around regulatory submission. Our goal is to get seladelpar on the hands of patients as quickly as possible. So I think you'll look to see us provide a little bit more clarity around specific timelines once that data readout comes out. But overall, again, the urgency is clear. We've continued processes and commitments here along the way, even as the clinical studies are ongoing. We do have intentions of having rolling work and rolling submission ongoing as we think about the path first to NDA filing, and then filing in Europe. So you're going to see us provide a little bit more specificity as we get to top line data, but fundamentally, the urgency is there and our procedures and processes internally, resource focus is all geared towards this if successful in RESPONSE.
Julian Harrison: Okay. Great. Thanks very much.
Charles McWherter: Thank you.
Operator: The next question comes from Andy Hsieh with William Blair. Please proceed.
Andy Hsieh: Great. Thanks for taking my question. Harish, congrats on your new role and look forward to working with you. The evil abstracts that you talked about is very intriguing. So maybe one question, but a two-parter for Chuck and Lewis, respectively. In terms of the IL31 right call, the itch cytokine, I would say, I'm just curious in your view, generally speaking, is that context dependent? So it depends on which cell type that's producing that, or you can actually characterize on a global basis based on serum level. And the second part is basically on IL31 testing. I'm just curious if that's something that is a part of a normal panel or as you think about tracking this cytokine going forward, it'll have to be included and kind of developed independently. Thank you.
Charles McWherter: Yeah. Thank you. Thank you so much, Andy, for that question. I think if you look to the literature, you'll find that IL31 has been implicated in itch in a variety of different disease settings, whether it be dermatological or uremic, or even if you look at the recent paper potentially in cholestatic disease as well. With respect to the cell type origin, I'm not in a position really to comment on that yet, just because of the embargo. We might have more to say on that in June. I would just say stay tuned. It's an interesting and an important question that you've identified, so thank you for that. In terms of IL31 being part of a normal panel, no, it's a highly specialized cytokine that's measured, although there are vendors who offer -- to offer ability to measure that. I think our view is that its relief is first documented and reported by the patient. It's a symptom, not a sign, but having some type of biomarker associated with it would represent in advance, and it's something that we're of course, keenly aware of.
Operator: The next question comes from Ed Arce with H.C. Wainwright. Please proceed.
Unidentified Analyst: Hi, good afternoon everyone. This is Thomas asking a couple questions for Ed. So perhaps first question, assuming positive, the headline from RESPONSE study, how -- specifically on the composite endpoint, how do you envision seladelpar proposition against [indiscernible] and the pruritus measurement and also in the ALP normalization as well?
Sujal Shah: Yeah. Appreciate the question, Thomas. I think of course, if we see the response that we've seen so far from our clinical studies, we think seladelpar's profile demonstrates a greater percent reduction in alkaline phosphatase, a greater proportion of patients meeting the composite primary endpoint. And as you've mentioned, also a greater proportion of patients normalizing, of course, with all the caveats that, there's inherent challenges in comparing across studies as opposed to head to head. I think the positioning clearly, we think is one in which it offers patients, more patients, potentially the ability to get not just a goal, but to actual alkaline phosphatase normalization. Again, one of the areas in which I think the entire field will continue to advance in terms of an actual treatment goal for patients. And that has the ability to potentially position seladelpar as a preferred second line treatment. And of course, as we've mentioned, a potential to be used in a broader patient population than we might have otherwise originally thought of for second line setting. The pruritus impact, clearly again, as we've mentioned, is really a game changer because today there are no treatments that have shown real significant benefit on reducing pruritus first line treatment with ursodeoxycholic acid. Although, it's never been shown to cause or worsen itch, it's never been demonstrated to relieve itch either. And so I think this goes without saying that the data that we've generated to date is significant. Having the ability to reconfirm in response to the benefit that we saw in ENHANCE statistically significant for patients with moderate to severe itch, a significant proportion of patients seeing a four point or greater reduction in the NRS score versus placebo. This is data that we think is quite compelling. And we think the overall story relative to the improvement in overall symptoms for patients is clearly one of those that physicians seladelpar well again assuming that we're successful as we move forward.
Unidentified Analyst: Yeah. Thank you so much for the detail. And then perhaps, how do you look at both, as I mentioned pruritus and ALP normalization, both measurements of so are against other candidates in clinic, for example, any other PBC candidates as well?
Sujal Shah: Yeah. I think, Thomas, that's a bit harder of a question to answer to date, because we just haven't seen as much data from other agents being developed. Obviously, as we've mentioned a number of times, we've had significant experience in PBC with rich dataset to date. And so I think harder to answer that question today, but obviously in the coming months we'll have a much better idea around the impacts of other agents on al-phops, and even on pruritus. I think it is much more to digest relative to seladelpar, given our experience, but harder I think to compare to others where there's not yet been significant data demonstrating those effects to date.
Unidentified Analyst: Got it. And perhaps one more question from us, this one's commercial. So with your partnership in Japan, how should we look at other markets [indiscernible] small US and others? Thank you.
Sujal Shah: Yeah. It's another good question. We continue to evaluate opportunities either to bring seladelpar ourselves in other geographies or to do so with third-party partners. I would simply tell you that we have ongoing dialogue constantly. And as we get to the other side of Phase 3 data, I think we're going to have some decision points to make thereafter. We're not in any sort of specific urgency where companies well capitalized today. We think RESPONSE is a study that will allow us to at least submit for regulatory approval, both in the US as well as in Europe and the UK and with the MHRA as well as with EMEA. So I think fundamentally we're going to continue to progress through the conduct of our clinical studies and make the decisions that we think are best in terms of us being able to get seladelpar in the hands of patients broadly.
Unidentified Analyst: Got it. Thank you again for taking the questions. Very looking forward to our RESPONSE top line next quarter.
Sujal Shah: Thank you.
Operator: Our next question is from Jay Olson with Oppenheimer. Please proceed.
Jay Olson: Hey, congrats on all the progress, including the addition of Harish to your team. And thank you for taking the questions. Can you talk about any physician feedback that you've received following publication of the Phase 3 ENHANCE results in Hepatology?
Charles McWherter: Yeah. Thank you, Jay. Yeah. So I think in general, it's been quite gratifying. There's been a lot of uptake. In fact, I have a -- an application that looks at the number of citations and it's already jumping up far higher than anything I've seen before. So I think there's a level of interest. I think a large part of that is driven by the fact that it's very closely related in design to RESPONSE, albeit at a shorter timeframe. And the fact that it's placebo controlled, with a statistical methodology that looked first at the composite for registration and looking at normalization and finally looking at pruritus, that's something that's not been done before. We've combined both placebo control with those three particular endpoints, I think is something that's garnered a lot of interest. Of course, in addition to that, if you look into the article, you see that we also had a subset analysis looking at cirrhotic patients. We had a number of supportive analysis looking at other measures of itch. We looked at ALT in addition to other liver biochemistry, which was also very supportive in terms of the profile we've seen thus far. And then, course, the overall safety profile is something that -- I think is something that's got a lot of attention. People are really looking for an agent that can be used in this population with a safe profile, including across the different stages of disease.
Jay Olson: Great. Thank you. That's super helpful. And then can you talk about any read across or points of differentiation for seladelpar you'll be expecting when the elafibranor Phase 3 elated study top launch?
Charles McWherter: I think I would focus on what we know about seladelpar and del PPAR mechanism. We think that that mechanism is unique because PPAR delta activation is found to be important in hepatocytes cholangiocytes cuff for cells, macrophages, and in [indiscernible] cells. And so if you look at both the clinical profile, clinical markers, improvement of bile acid homeostasis, markers of cholestasis itself, whether it be alkaline phosphatase, GGT or bilirubin improvements in markers of inflammation and liver injury ALT, I think that's something that the mechanism really does quite well at. We have not yet had an opportunity in PBC to look directly yet fibrosis, but we did so in NASH as well as in preclinical models. So we think there's a rationale there, and we're looking to confirm that both with liver stiffness measurements in RESPONSE, but probably more appropriately in the long-term ASSURE study, where their impacts on liver stiffness through effects on underlying fibrosis are probably easier to detect over the long-term.
Jay Olson: Great. That's super helpful. Thank you very much.
Sujal Shah: Thank you.
Operator: The next question comes from Mayank Mamtani with B. Riley. Please proceed.
Mayank Mamtani: Good afternoon, team. Thanks for taking our questions and congrats on the progress. So just maybe piggybacking on the prior comment chat you had on the impressive fibro improvement you had in Phase 2 NASH and the [indiscernible] patients in the past, you've treated. Curious, how you're handling a small cohort of patients which have liver biopsy in RESPONSE. And also if you could remind us where you are with the hepatic impairment study notes. It's more of a check the box for NDA submission, but would be good to hear, if there's anything new that you've learned from that. And then I have a couple of quick follow ups.
Sujal Shah: Yeah. Well, thank you for the question. Yeah. I'm pretty excited about the opportunity to examine biopsy in this population. It's not something that's normally done in PBC patients. It's not the standard-of-care that we put together. What we think is going to be a very exciting, scientifically driven program to evaluate both baseline and intervention effects on liver histology in the setting of PBC. Not a lot yet to share about that, but it's our intention to really have a very significant and thorough evaluation. Of course, that will be submitted to the FDA, but we also plan to publish the findings there. So it's something I would just say stay tuned. It's receiving a lot of energy from the team here. In terms of hepatic impairment and studies in cirrhotic patients, just first say that we do have already completed traditional hepatic impairment study, which recruits patients with either child Pugh A, B, or C compared to normals regardless of etiology of the impairment. So that's been completed and submitted to FDA. In addition, we're conducting this study in patients where PBC is the cause of the impairment that includes patients with A portal hypertension, B and C. That study is ongoing. I can say that I think we're pleased that it's proceeding well. We expect it to be able to support the submission. It's a predominantly a study that first of all establishes the relationship of dose to exposure and to identify whether there's any dose adjustment needed with more severe liver disease or stage. And then secondly, we're also looking at treatment response, although over a short duration. So we expect to be able to share those results when the study is completed.
Mayank Mamtani: Got it. And maybe just a quick follow up on the discussion around the out force. There's increased discussion of using complete biochemical response as an endpoint. I was trying to do some internal modeling work of, for example, how seladelpar, monotherapy stacks up against, say, using combination of sequencing approaches of del PPAR. Has that been done internally and you have a view on that endpoint complete biochemical response, which includes, not just del PPAR but also other transaminase and biochemical markers.
Charles McWherter: Yeah. Well, thank you for that question. Of course, normalizing liver biochemistry is, of course, a goal that the field is increasingly considering. The only study that's been published that looked at that carefully was, of course, the [indiscernible] study was published in the New England Journal in 2018. That study was challenging, not -- it was a well conducted study, well conceived and well conducted, but the eligibility criteria were relatively lower than it's been seen with other studies, for example, in POISE, or for example in ENHANCE or RESPONSE or even what's posted on ClinicalTrials.gov for [indiscernible]. So consequently, it's a little bit easier to achieve a biochemical normalization in that setting. Some parameters are easier to normalize than others, I would say. With respect to the triple therapy, and how that might play into normalization, if you look at the red paper, which I think you're probably familiar with, this is a study that has a very select population, patients who've failed dual therapy or second line therapy with either OKA [ph] or with a fibroid and then go on to receive triple therapy. In that particular case, I think it was interesting in patients who failed dual therapy on OKA, but then added visa fibroid. On average, they had about a 42% reduction in our outlast indicating that the fibroid mechanism had potential additional significant reductions. If you look at the inverse group, those patients on a fibro who failed second line therapy, and you add OKA, you only get an 11% reduction. It says to me, and I think it's really consistent with what we've seen in ENHANCE or the open-label Phase 2, and hopefully we'll see in RESPONSE is that those kinds of mechanisms, the del PPAR mechanism and potentially even vibrates, seem to have more of outlast lowering effect than an FXR agonist. So it really raises the question in a future state where you have multiple approved drugs, what would you start with? Would you start with a drug that has greater effect and then add one if needed? That's the lesser or the reverse. I think it really suggests to us a drug that could improve liver biochemistry, improved symptoms would be the first agent you would reach through it for. And then yes, of course, if there's something left that the patient needs, then you might look for some, for example, for an FXR agonist.
Mayank Mamtani: Yep. That makes sense. And the final question on the strategy to get providers on the label, beyond the RESPONSE study, I was curious, generally, mechanisms like [indiscernible] inhibitors, that do target itch as the primary condition, do have a crossover design. Are you also thinking of doing an additional study like that? Or do you think the effort that you have currently is sufficient to make sure pruritus is going to be on the label? Thanks for taking our question.
Charles McWherter: Yeah. Thanks for that question. Of course, our study design was based upon close conversations with regulators, including with the FDA, both in advance of ENHANCE and for RESPONSE, where we discuss our desire for indication as well as the endpoint and the method of measuring the endpoint and the statistical methodology to be used. I think from our perspective, the study design is, you could call it a nested design where, first of all, we look at composite endpoint and normalization. These are factors that are related to outcomes and as well, because it's a rare disease, and of course, it's difficult to mount large studies, it makes sense to add in pruritus, since it's a common feature, 70% of patients have a history in INR studies, 30% or more have moderate to severe itch at baseline. And so in that case, looking for a secondary endpoint where we get the symptom relief makes a lot of sense.  And then finally, with respect to other agents that might be used to treat cholestatic colitis, our feeling is once again, if you have an agent that has improved biochemistry, that's related to as risk factors for prognostic outcomes, as well as improved symptoms that makes the most sense for the patient, makes the most sense for the physician, and I think that gives the best opportunity for a patient to get what they need in a single agent.
Mayank Mamtani: Got it.
Operator: At this time, we are showing no further questioners in the queue. And this concludes our question-and-answer session. I would now like to turn the conference back over to Sujal Shah for any closing remarks.
End of Q&A:
Sujal Shah: Thank you all once again for joining us today. As we've mentioned a few times, it's been a fast start to the year with much more ahead of us in the coming month. We look forward to sharing data at EASL at the end of June. Top line data from RESPONSE in the third quarter, and additional clinical and regulatory updates with you throughout the year. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.